Fredrik Wester: Hello and welcome to the Q1 2025 report for Paradox Interactive with me, Fred.
Alex Bricca: And I'm Alex. Welcome everyone.
Fredrik Wester: And we're going to walk you through what we've been doing during the quarter and the numbers for the quarter as well. So we can just jump right into it. That's me.
Alex Bricca: Good start.
Fredrik Wester: Good start. Yes. So this is what we would refer to as a bit of a slow quarter. Not a lot of releases, but still stable so despite few releases, we have a good cash flow, we've been facing for the first time in a couple of years, some currency headwinds. And we also had an acquisition, so that's probably the major thing that happened in the quarter. So we completed the acquisition of Haemimont Games, which is totally in line with the strategic intent we have to expand into the management segment of games. And at almost the same time we also acquired. This is outside the corridor, we acquired Stranded: Alien Dawn, which is a game that Haemimont has developed together with Frontier Developments. So we bought all the publishing rights and all other rights as well from Frontier. It was effective date April 1, and apart from that, focus on what's ahead. We announced three expansion passes for three of our key IP and they're doing really well. So we're happy with that. And we have a lot more other things coming as well. But this quarter is what it is.
Alex Bricca: Yes. Business as usual.
Fredrik Wester: So the releases is key release is Graveyard of Empires for Hearts of Iron IV, Wards and Wardens to Crusader Kings III on console, a handful of different content creator packs for Cities: Skylines II together with two radio packs as well, and a handful of content for our Deck Builder Across the Obelisk as well, so that was it.
Alex Bricca: We also had some content creator packs for Cities: I.
Fredrik Wester: Yes, we did. I think it was two content creator packs for Cities: 1 as well, which is not showing in this slide. So that's correct. And getting ready, we're ramping up for the rest of the year. Victoria 3 Expansion Pass 2, Crusader Kings III Chapter 4 and Stellaris is in season 9, it's been on the market since 2016, so it sounds about right. And this is a bit of a new format that we're trying out to present bigger chunks of DLC packs to our gamers and we're doing well, we're happy with this.
Alex Bricca: Yes. Right.
Fredrik Wester: Oh, that's it. That's it for me. Yes.
Alex Bricca: Okay.
Fredrik Wester: Speak of a business as usual quarter. Right?
Alex Bricca: Yes. So let's try to go through the numbers a bit more in detail. So revenues in Q1 this year, SEK464 million compared to SEK482 million in the first quarter of last year. So it's a decrease by 4%. And as you know, the ones that follows us, what impacts our quarterly revenue is what we release in the quarter, and Q1 has during the last year become a slow quarter. We tend to release quite a lot in Q2 and Q4 and then much less in Q3 and Q1.
Fredrik Wester: Yes, Q2, Q4, you can always have the Steam summer sale, you have the Steam winter sale. So also impacts sales, obviously in a positive way.
Alex Bricca: Of course. And Q1 this year hasn't been an exception. It has been exceptionally slow, I would say, in terms of releases. Fred went through the releases. But if you compare to last year, we actually had more releases last year. We had a full game in terms of Millennia. We had Legends of the Dead for CK III, DLC and Trial of Allegiance for HOI. We had DLC for H1 as well. So we have less releases this year. And therefore, naturally, we make less revenue. We are also, as always, impacted by the currencies since we have I think it's 97% of the revenues in foreign currencies. And if you compare the average between Q1 and the average of Q1 last year, the difference isn't that much. The dollar is actually up a bit in average. But if you look at the movements within the quarter, it has gone the opposite way. And that will show on a separate row, which we will show you, but Q1 last year, the dollar has improved. Q1 this year, it has gone the wrong way.
Fredrik Wester: It's basically from when we issue the invoice to the fact that we get the money, we've had some negative movements.
Alex Bricca: Yes, exactly. And so Q1 hasn't showed all effect yet. Q2, there we are going into the quarter with a SEK that is roughly 10% stronger against the dollar compared to last year. So we will see some headwind in Q2 for sure, but we're also planning to release more content, so that should make up for it for sure.
Fredrik Wester: For sure.
Alex Bricca: Top 5 contributors in terms of revenue game-wise.
Fredrik Wester: No surprises.
Alex Bricca: No surprises, both Cities I and II, CK III, Stellaris and Hearts of Iron IV. Operating profit for Q1, SEK147 million this year compared to SEK154 million last year. So as with revenue, slightly less. Profit after financial items, SEK154 million compared to SEK165 million. So we like that the profit after financial items is higher than the actual operating profit, which is not the case for every company. But we don't have any interest-bearing debt. Instead, we have interest-bearing assets in terms of bank holdings, so we get interest on that money. So that is good. Profit after financial items margin in Q1 this year was 33% versus 34%. So it's very similar. It's very similar quarters, I'd say. Less releases this year pushes down revenue, profit and profit margin. Equity through asset ratio, 83% compared to 78% last year. So it's going upwards. I didn't mention, I see profit after tax, SEK124 million this year compared to SEK127 million last year. Employees, almost the same, 596 in Q1 this year compared to 594 in Q1 last year. But this is average. Perhaps you expect it to be higher because of the acquisition of Haemimont with almost 60 new colleagues, but we implemented the acquisition in mid-February. So they kind of count only half for the quarter average, but I think the Q2 number should be up some 30 FTEs.
Fredrik Wester: Sounds about right.
Alex Bricca: Right. Let's move on. This is our standard slide to show revenue over time, the green line and our three main cost items in yellow, blue and red over time as well. So revenue, we have already discussed, SEK464 million compared to SEK482 million same quarter of last year. But what this shows very clearly is the fluctuation between the quarters that we have spoken about. And it's -- if you go back -- you can go back 3 years, and you can see this very trend where we have a lot of releases in Q2 and Q4 and with that comes a lot of revenues. And then we have considerably less releases in the Q1s and the Q3s, and we see less revenues. And I think it's worth pointing out that the only difference between Q4, where we had more than SEK700 million of revenues and Q1 this year, where we had SEK464 million, so much, much less revenues. It's all driven by less releases of expansions and less marketing activities. So nothing else. So this shows how volatile we are with the releases. And it…
Fredrik Wester: But still stable --
Alex Bricca: Yes, of course.
Fredrik Wester: Even this quarter without major things happening. So…
Alex Bricca: Of course. Yes. I mean, we can't release much less than this, and it's still SEK464 million. So –
Fredrik Wester: Looking good. All-in-all.
Alex Bricca: Looking very good, I think, for sure. Let's dig in a bit more about the costs. So main cost item is cost of goods sold, SEK223 million, so it's down from SEK268 million last year, our biggest item. This is all the cost we have for making the games pretty much, everything that is necessary to make the games.
Fredrik Wester: Then I got a question as well on the -- on how we -- the aggressive scale of our write-offs on the projects as well. So it might be worth mentioning in the stream that we do from all games that are -- were released after Kings III. I'm correct. We write off 33% or 1/3 first month, the next 1/3 the coming 2 -- coming 5 months. So in the first half of the year, 66% of the product is basically written off in the books and the final 1/3 throughout up until month 18, so month basically 7 to 18.
Alex Bricca: Yes.
Fredrik Wester: So -- but everything -- all the DLCs released on games released before Crusader Kings, which is Stellaris, Hearts of Iron IV, Europa Universalis IV has just --
Alex Bricca: Linear.
Fredrik Wester: A linear write-off over 18 months. So that's the difference. So we've changed our model to be more like aggressive on the write-offs since 2020.
Alex Bricca: Yes.
Fredrik Wester: So that has impacted the results if you want to compare in before. But over time, it's going to be the same, right?
Alex Bricca: Yes. So the COGS item is split up over a few sub items. You mentioned the ones that is often the biggest one, that's amortization of capitalized development. So amortizations in Q1 this year was SEK72 million compared to SEK120 million in Q1 last year. So it's down quite a lot and this is pretty much only driven by what we have released in the quarter and the previous quarters. And now we haven't released anything really big for a while, so that keeps the amortizations down. If we look more into games, comparing Q1 versus Q1 last year, we have Millennial making a huge difference because we released that in Q1 last year, and then we took 1/3 in March already. Now we have almost nothing left. We had still some amortizations to do on Star Trek Q1 last year and also on the base game of Victoria 3, which we don't have anymore. Age of Wonders 4, we had more last year because we had the release. We didn't have one last this year and also Cities: II. So that's why amortizations are down. I can't say whether I should have looked this up before the stream. I can't say whether this is record low, but I think it's quite some time that it hasn't been this low.
Fredrik Wester: But we should also mention that we take a lot more costs upfront today.
Alex Bricca: Yes.
Fredrik Wester: So all games that hasn't reached -- I think it's alpha status. We take the costs day and date.
Alex Bricca: That's correct.
Fredrik Wester: So that's no more adding to the balance sheet before we're certain that we're going to actually release the game at some point.
Alex Bricca: That's right.
Fredrik Wester: So that's going to also take away a bit of the uncertainty around game releases.
Alex Bricca: Yes. Good point.
Fredrik Wester: And some uncertainty on the balance sheet as well.
Alex Bricca: For sure. And we like that also because we think it helps us taking a tough decision to cancel game projects. And if you have a huge item on the balance sheet, it's normally a bit more challenging to do that, especially during the early stages.
Fredrik Wester: Yes, avoiding the same cost balance basically.
Alex Bricca: Yes. In COGS, sometimes you have write-downs, 0 in Q1 this year. It was 0 in Q1 last year as well. We take cost -- when we acquired assets or businesses, we like to amortize the acquisition costs over time. So this quarter, we had SEK16 million of such costs.
Fredrik Wester: Yes, we started with Haemimont, right?
Alex Bricca: Yes. So it was SEK14 million in Q1 last year, and the difference is pretty much Haemimont that we have started to amortize a part.
Fredrik Wester: And it's a linear 5-year write-off for 7-year?
Alex Bricca: Yes. So if you look at the final note in the financial statement, you will find the purchase price analysis and there, you can see that out of the initial purchase price, it's -- that is split up over mainly 3 items. One item is live games. So the royalty stream that comes from the live games. That one -- that kind of right, we amortize linearly over 5 years from the acquisition. Then we have rights to a game that has been in development for some time. It's not done yet, but it's going to come out the game that we like. That we're going to amortize 18 months aggressively once we release that game.
Fredrik Wester: All right.
Alex Bricca: So we treat -- in that way, you can say that we treat the purchase price similar to as if we would have developed it ourselves. And then the final part is for the game engine that Haemimont has developed and that we also amortized 5 years linearly from the acquisition. So that is in here. Then we have other amortizations of SEK8 million, which is mainly the rent for a lot of studios in our publishing arm because since IFRS 16, you treat rent as an amortization. Royalties is often a significant part. Royalties for Q1 this year was SEK29 million compared to SEK40 million of Q1 last year. And this is mainly Cities: Age of Wonders because Age of Wonders, we have the earn-out from the studio that we push in here and the difference between Q1 this year and Q1 last year is mainly Age of Wonders. And then we have some royalties on the Arc games as well that make up a smaller difference. Then we have in COGS, kind of the final item that you touched on a bit, that is non-capitalized development cost and tech costs that we have in the publishing. So that was SEK97 million in Q1 versus SEK86 million in Q1 last year. And it's 2 more changes. One is that we moved part of the central tech team from PDS into PDX. So part of the developers that don't work with actual game development, but more with game generic development. So that means that we capitalize every quarter, SEK5 million, SEK6 million less. So we are being a bit more aggressive there in terms of --
Fredrik Wester: On the cost --
Alex Bricca: Yes. And the rest is just changes in the game projects that you mentioned. The higher risk we have on the project, the lesser we capitalize and the more we take as cost directly. Selling expenses, SEK48 million compared to -- this Q1 compared to SEK55 million Q1 last year. It should be lower because we haven't released much, but it's still a significant amount.
Fredrik Wester: No, but we're ramping up for a couple of other things that we're planning to do in the future.
Alex Bricca: Yes.
Fredrik Wester: So not saying too much, but we've touched upon Bloodlines 2, for example. And yes, we have a couple of things in the pipeline that is getting ready for at least maybe starting to talk about.
Alex Bricca: Yes. And at least starting to pay selling expenses for. So that's a good sign. It means that we are getting close. Admin expenses tend to be the same quarter after quarter, and it's the same here, SEK25 million Q1 this year versus SEK26 million Q1 next year. And admin expenses is everything except game development and selling expenses.
Fredrik Wester: Especially UNI.
Alex Bricca: It's UNI, some IT, HR, finance, legal, insurances, stock exchange fees, everything like that.
Fredrik Wester: Right.
Alex Bricca: Then we have other income and other expenses, which differs significantly between the quarters. It was positive SEK21 million last year and it's negative SEK23 million this year. And this is what you mentioned. It has to do with this currencies. So when we send out the invoice to, let's say, Valve [ph], let's assume it's $10 million. We send it, it says $10 million. And if at the time we send the invoice, the rate -- the SEK versus dollar rate is SEK10.5, which it was not a long time ago, then we would book the revenue of SEK105 million on the top line. Then a month later, we received $10 million from Valve. But at that point, the dollar might be -- only give us SEK9.5. So that means we only get the SEK95 million. So then we have a loss or an expense of SEK10 million, and that ends up on this row. So this shows clearly how the dollar has moved during the quarter.
Fredrik Wester: Within the same quarter.
Alex Bricca: Within the same quarter, and it was up Q1 last year, down Q1 this year. So quite a big change.
Fredrik Wester: Kind of a big change.
Alex Bricca: And financial items, money in bank.
Fredrik Wester: Money in bank. Interest rates, a bit lower because interest rates have gone down.
Fredrik Wester: Right.
Alex Bricca: All right. Let's move on.
Fredrik Wester: Next slide?
Alex Bricca: Yes, let's go to the next slide. So this shows just revenues and operating profit grouped into 12 months in order to make it easier to see a trend and -- it's very easy to see a trend in terms of revenue. It's going upwards. We have some temporary ups and downs where we increase more or less, but over time, it's a steady march upwards.
Fredrik Wester: It's a steady growth.
Alex Bricca: Steady growth.
Fredrik Wester: And we'll see where the margin goes here. We have been more aggressive on the cost side. So also -- yes, so the balance sheet now when it comes to activated projects is definitely lower than it was last year at the same time.
Alex Bricca: We are putting much less onto the balance sheet every quarter now than we did, especially 2 years, 3 years ago. So a very clear trend on the green bars. There is a clear trend as well on the yellow line, even though it's not as steep. I think there, we are -- so that's the operating profit. There we are being held down a bit by fairly massive write-offs that we have had over the years. You see a big one in Q3 2021. That's when we canceled several projects that were in development. Then we have a drop in Q4 of 20 --
Fredrik Wester: Q3 of 2024?
Alex Bricca: Q4 of -- and then Q2 2024 again. And since this is rolling 12 months, it means that -- so we just said that we didn't have any write-offs in Q1. But since it's rolling 12 months, the write-off of Lamplighters League back from Q2 last year still impacts us with more than SEK200 million here. So coming into Q2 this year, we will remove that.
Fredrik Wester: Oh, you mean like by Q2?
Alex Bricca: Yes, that is what I said. Sorry, sorry.
Fredrik Wester: So next quarter, it's not going to be impacting the 12 months rolling.
Alex Bricca: Yes.
Fredrik Wester: So it's going to hopefully take a big jump up --
Alex Bricca: Exactly.
Fredrik Wester: Without promising anything --
Alex Bricca: No.
Fredrik Wester: No forecasting.
Alex Bricca: Exactly. But we're looking forward to that. All right. Cash flow, very strong, I think. So cash flow from operating activities, SEK217 million -- no, sorry, that was from investing activities. Cash flow from operating activities, SEK266 million in Q1 this year versus SEK137 million in Q1 last year. So the profit were almost the same, even slightly better last year, but we're still getting higher cash flow this year.
Fredrik Wester: And this includes the first payment on the Haemimont deal as well, and we're still cash flow positive in the quarter. So that's good news.
Alex Bricca: Yes. That shows up on the yellow bar. But just a short explanation why we see a big variance between cash flow from the operating activities versus the profit, and that has to do with timing because the payment or the cash flow from the last calendar month of each quarter comes in the next quarter. So for Q1, it will depend a lot on how are the revenues in March and December. And this time, we had -- so in 2024 December, we had massive revenues that is coming in, helping the cash flow Q1 this year, But December 2023, the sales weren't that high. So it didn't help Q1 of 2024 equally, so therefore, we see much --
Fredrik Wester: December impacts Q1. March --
Alex Bricca: Exactly. But then what you touched upon was the yellow bar, cash flow from investing activities, where we had SEK217 million this year versus only SEK48 million last year. And yes, the SEK217 million includes the investment in Haemimont of SEK97 million. So if you exclude that, we are at SEK120 million. Last year, SEK48 million, but then it was extra low because we sold some of our bonds. Last year, we invested our excess cash, some of it in bonds. Now we have it on the bank account because it yields better interest. So we sold that Q1 last year, which pushed down the investment. So if you would remove that, it was SEK178 million last year compared to SEK120 million this year. So it's actually down SEK58 million, and that is down to 2 projects. It's Life by You that last year's Q1 came with significant investment, but it's also down to Bloodlines because Bloodlines is getting closer to release. We have set a date now. We have set a month.
Fredrik Wester: Yes. And actually, if you're looking online, you can see that PC Gamer has a 10-page preview [indiscernible] today.
Alex Bricca: Oh, nice.
Fredrik Wester: We just got the magazine sent to the reception desk. So I've gone through it.
Alex Bricca: Cool. Yes. So Bloodlines doesn't come with much more investments, so that means that we are getting close. And as you mentioned, Fred, so if you add these bars together, you can see that we are positive so the net cash flow of Q1 was positive. Despite that, we didn't release much in the quarter, almost nothing. Well, I wouldn't say almost nothing, but a very slow quarter release-wise. We had headwinds in terms of currency, and we bought and paid all the upfront part of the acquisition of Haemimont so despite that, we are still getting more cash at the end of the month.
Fredrik Wester: Good news.
Alex Bricca: I think so, very strong.
Fredrik Wester: So it wasn't that bad of a quarter after all. It seems to be pretty --
Alex Bricca: Not at all. Not at all. And yes, we're looking at --
Fredrik Wester: That's it.
Alex Bricca: -- Q2 and the rest of the year. Do we have any questions?
Fredrik Wester: It seems like we do.
Alex Bricca: It seems like we do. First one to you, Fred.
Fredrik Wester: Right.
Alex Bricca: Is the DLC subscription model part of a broader move toward a game-as-a-service approach at Paradox? Or is it more of a stand-alone option for players?
Fredrik Wester: Well, we've seen the subscription model as a way for our gamers to take a first step into the game and enjoy all the DLCs at the same time before maybe making a full purchase decision or because it can be a bit overwhelming when you're presented with a lot of DLCs for, say, a game like Europa Universalis IV that has been in the market for almost 12 years. So -- we -- games as a -- I think we are almost a games-as-a-service provider, if you want to use that word, because we constantly update our games. We release some content for free and some paid content. So I think we're already in that sort of niche, but it's a good way for people to try out, I would say, and first step into the Paradox universe. So Alex, how is the current global currency situation, particularly with the U.S. dollar, affecting Paradox's financial outlook? Are there any anticipated impacts on pricing, especially for DLC or international markets?
Alex Bricca: Yes. We have talked about this so we are largely impacted, of course, by foreign currency. We have -- I think it's 97% of the revenues coming in foreign currency. So that impacts us a lot. There it spread out over all currencies.
Fredrik Wester: It's underlying currencies as well?
Alex Bricca: Yes.
Fredrik Wester: We get paid in dollars, but underlying currencies are a big basket of difference.
Alex Bricca: Yes, almost everything that gets paid to us is in dollars, but the actual underlying purchase is done -- yes, dollar is the biggest, but we have euros, which is not that far away. We have pounds, we have yen, we have everything. So we're affected -- at the end of the day, we are affected by all movements against SEK. But then if you look at this specific line, other income and other expenses, there is the SEK versus dollar amount or exchange rates that impacts us.
Fredrik Wester: Right. So 3% is SEK more or less.
Alex Bricca: Yes.
Fredrik Wester: Sorry, was there something -- are there any anticipated impacts on pricing, especially for DLCs? I mean, we do a big work every year where we adapt regional pricing, taking into account currency, inflation and everything like that, so it's an ongoing work. We tend to rarely do it throughout the year because it comes with limitations on the different platforms because after you have changed prices, you can't change it again for a certain period. So since we work a lot with discounts over the year, it's important to time it in the right way.
Fredrik Wester: Of course.
Alex Bricca: Fred, how does Paradox view the long-term balance between launching new titles and continuing to expand existing ones through DLCs?
Fredrik Wester: Well, we want to have a strong cadence of both free content and paid DLC every year to ensure that our players have new experiences and have a reason to come back to the game and keep the game experience up to date and add new features and systems and whatnot. But ideally, we would add 1 to 3 titles a year to our portfolio. We haven't really been able to do that so far. But I think with our kind of new way of working, I think we might have a more stable release pipeline in the coming 3, 4 years without promising too much. But 1 to 3 new titles a year, I think, is something that we should aim for. I think that's reasonable. Alex, will the acquisition of the new EP, which is Alien Stranded Dawn, have short-term effect for the revenue, for example, by developing new DLCs in the coming quarters? Or is it a long-term investment in the IP only?
Alex Bricca: It's a bit of both. I mean, the game generates revenues already, so we will get revenues from the get-go from that game. Then of course --
Fredrik Wester: Not a huge amount. It's not going to impact --
Alex Bricca: No, no.
Fredrik Wester: You're not going to see like numbers flying away.
Alex Bricca: Correct. But there is a long play in it as well because now we have gathered the studio and all the publishing rights and all the IP rights together. So of course, it makes it easier to develop again on the game. But as of today, we have nothing to communicate regarding any such plans.
Fredrik Wester: Good.
Alex Bricca: More questions. Fred, with some platform holders like Nintendo increasing prices beyond €80 and tariffs potentially affecting cost, how does Paradox approach pricing strategy? It's a similar question as well.
Fredrik Wester: Yes. I mean, we touched on that. So we do pricing adjustments every now and then, and we adjust local currencies depending on what Alex talked about, like inflation rates and a bit of everything taken into account. And the baseline prices, I mean, for 20 years between 1999 and 2019, all our base games cost $40. It was effectively a reduction of the price year-on-year, accounting for inflation but we adjust the baseline prices as necessary, you could say. I mean, it's a political answer, but I think that's the only correct answer I can give. Alex, would be great if you could share some more color on how currency impacts your revenue. I can see that 80% -- 82% of your revenue are from Steam. How do they pay you in USD? Or how should we think about FX impact on the top line?
Alex Bricca: Yes, I think we've answered this one.
Fredrik Wester: We've answered this because we issue an invoice and that month is where we're kind of impacted USD only, right? The rest is like a basket of currencies. I think hedging currencies for us, we've never done that because it's really hard with the mix of currencies that we have. I answer your question here, by the way.
Alex Bricca: I mean, yes, we have taken the decision to -- so far at least to not hedge it because at the end of the day, it's going to catch up to you anyway. And if you look at it over a longer term, we have still a weak SEK versus the dollar and the euros and the pounds. If you look -- not if you look a couple of years back, but if you look 10 years back, we have had…
Fredrik Wester: You mean the bank wouldn't just help us be nice. That's how you're saying?
Alex Bricca: That's right. There's a business in it as well.
Fredrik Wester: Oh, yes, I knew it.
Alex Bricca: Okay, Fred. Player retention is key for the success of ongoing DLC models. What are your main concerns or challenges when it comes to keeping players engaged over time?
Fredrik Wester: That's a very good question. You might think I wrote this question and sent it to myself, but I swear, I didn't. But outside of DLC pipeline, which is obviously a major drive towards playing the game more and coming back and have a reason to play a new country or a new character or whatever. And the free updates, of course, we believe, for example, modding is a huge driver of retention so we have a thriving mod community for all our games and we're looking to expand that. We're looking to present, hopefully, be able to -- for the modders to use even more tools and be even more in-depth in the modding in the future. So we're putting a lot of effort into that. Multiplayer obviously, is one of the drivers, a social layer, like meta layer sort of thing on our games. So we're kind of experimenting with a lot of different things to make the whole gaming experience into like not only when you're in the game, but things you do outside the game as well. So it's going to be interesting. Alex, over how many years will the acquisition of Haemimont be amortized? I think we answered this as well, but if you want to --
Alex Bricca: Yes, we did. So the upfront purchase price, we mentioned how it will be amortized. It's -- part of it over 5 years, part of it over 18 months from the release of the game that Haemimont has been working on. Then -- so that's in terms of the initial purchase price. Then we have a performance-based earn-out that will depend on certain criteria’s as being met like key steps staying home for a certain time, games being released, games selling over certain thresholds. And then we will take the cost for that earn out when those events are triggered pretty much. So it will come with an increased cost when we release the games when we reach certain sales targets and so on.
Fredrik Wester: Sounds reasonable.
Alex Bricca: Fred?
Fredrik Wester: Yes.
Alex Bricca: I think we have time for some more questions.
Fredrik Wester: Yes.
Alex Bricca: Can you provide us with details on Haemimont's original IP? How far gone is it, which genre, etcetera?
Fredrik Wester: Did we talk about an original IP?
Alex Bricca: I don't know.
Fredrik Wester: Okay. I will do that now. So Haemimont are working with us on a couple of different projects. I would say one that you probably will recognize to a certain extent without saying too much. Two others that you probably won't recognize, but it's going to be great. And I mean, Haemimont, we bought the studio because they are one of the best studios, if not the best studio in the world at making management games. And that's what they're going to continue doing with us as well. So it's not going to be super surprising what the gameplay looks like. So it's going to have that Haemimont nice feel that you've been able to experience throughout there over 20 years of existence, but we hope to add like some extra flavor over the coming years. And Alex, any financial -- significant financial effects in 2025 from this?
Alex Bricca: Not from this game specifically. It will end up on the balance sheet and on the cash flow as investments in game development, but nothing.
Fredrik Wester: So some write-offs is what we're counting upon mostly?
Alex Bricca: No, not write-offs.
Fredrik Wester: The write-downs on the acquisition price?
Alex Bricca: No. Yes, there will be some amortizations of the acquisition price. No write-offs planned. Some amortizations over time that we see. But from this specific project, nothing really. No. It will come when we release a game, then we will see amortizations on that game. Fred? Victoria 3, what is your thinking about the state of the game and resources you allocate to it?
Fredrik Wester: Another good question. So we have a full team working on Victoria 3, and we're looking to have it as one of our evergreen franchises as we call it, like a lot of the other grand strategy games like we're doing with Age of Wonders 4 is doing really well, too. City Skylines, obviously. We're not really quite there yet. On the Q3, we would like to increase reviews, for example, and some other things. In Q1, we announced the first expansion pass for the game, and it's been doing quite well. So that's -- it's a good sign that the game is really -- that people are starting to find it and they're really enjoying it. So that's good. And -- but we're continuing to create content and continuing to develop the game. So no other plans.
Alex Bricca: Awesome.
Fredrik Wester: Alex, Cities:, Skylines, do you plan to continue supporting Cities: I, the same way you've done with content creator packs? Also, what's the status of Cities: II expansion Bridges & Ports? I understand that you will not give a date, but is there any reason to expect that it will be significantly delayed again? Or do you feel confident in the time line you have presented?
Alex Bricca: Right. So two questions. Yes, we can say that we will continue to support Cities: I.
Fredrik Wester: Has a big following?
Alex Bricca: Yes. So we continue to do that in different ways. And with Bridges & Port, the latest thing we have communicated is Q2. We haven't changed that. So we haven't -- nothing more to add on that one really.
Fredrik Wester: No. So keep your eyes open to see what happens here.
Alex Bricca: Out of time, I don't see any questions coming up on the screen. Maybe if you have written questions that we haven't answered, we will go through the mail and answer them via e-mail.
Fredrik Wester: Yes. And that's it from us for this quarterly report stream. Thank you for watching and see you again in beginning of the month.
Alex Bricca: Yes, beginning of August, we will have the Q2 stream.
Fredrik Wester: Perfect. Looking forward to it already. Thanks for watching and see you then. Thank you. Bye.
End of Q&A: